Operator: Good afternoon, ladies and gentlemen, and welcome to the Gold Fields Limited Second Quarter Results Conference. All participants are currently in listen-only mode. And Mr. Holland will brief you on the results and will take questions after that. [Operator Instructions] Please also note that this call is being recorded. I would now like to hand the conference over to Mr. Nick Holland. Please go ahead sir.
Nick Holland: Thank you, Dylan, and good afternoon or good morning ladies and gents wherever you might be in the world today. Thanks for joining us to discuss the results of Gold Fields' for the second quarter of 2015, and of course, the half year. On the call today with me today, I've got Paul Schmidt, our Chief Financial Officer; I've got [Kgabo Moabelo] [ph], the Executive Vice President of our South Africa region, Avishkar Nagaser, Investor Relations and Taryn Harmse, our Group General Counsel. Operational and financial highlights for the quarter are; gold production up 7% to 537,000 ounces, group all-in sustaining costs down 10% to $1029 an ounce. All-in costs 9% down at $1059 an ounce. Normalized earnings were $22 million compared to a loss of $13 million in the previous quarter. Importantly we had a $59 million swing in net cash flow to an inflow of $30 million in quarter two from a net outflow of $29 million in quarter one, and just to remind you in quarter one, it wasn't that it was a poor quarter, we had mine scheduling that skewed production towards the second, third and fourth quarters and we didn't want to disturb that schedule and get out of sequence, so we honored the mining portfolio was determined by the engineers on the mine. And at the same time, we also had some of the capital that was front ended in quarter one, and again, that's just timing of capital. So on a year-to-date basis, we are pretty much in line with where we expect to be in terms of our production and we're below in terms of where we thought we would be on our costs. Free cash flow margin was 9% in quarter two despite a slightly lower gold price in the June quarter. Net debt reduced by $22 million to $1.5 billion at the end of June rounded that's a net EBITDA, net debt ratio 1.44 that's well within our governance, but we do have an objective to continue to pay down debt and target a ratio of net debt to EBITDA one to one by the end of 2016. We paid a dividend in line with our policy or [via] [ph] the modest dividend of ZAR0.04 per share. Now the recent fall in the gold price is of concern and well, of course, it has bounced overnight and today the intervention nonetheless taken at gold fields over the last three years have ensured that there is no need at this stage to make any structural changes in the business. We have taken all of the hard hits, we have restructured the business, we had a headcount reduction across the group of around 15% and we cut marginal production and greenfields exploration that we didn't think was adding value. We have also sold virtually all of the non-core investments for Artic platinum projects, everything else is out and we concluded the Woodjam project literally just the last week. We remain firmly focused on delivering on our plans in terms of both cost and production irrespective of the gold environment that we are in. But, we won't divert our attention from what we call the non-negotiables of our values being safety, health environmental stewardship and stakeholder engagement. I'm pleased to report improved production across the group with Granny Smith, Tarkwa and Cerro Corona in particular outstanding performance. While production in South Deep was [seven tens] [ph] higher quarter-on-quarter, this was negatively impacted by safety related stoppages following the fatal accident that regrettably occurred during the quarter. As well as management induced stop and fix interventions against both safety, productivity and work practices better than what they are now. This of course has impacted production as you would expect. Encouragingly there have been positive trends from South Deep emerging over the last number of months as we see the raise of all production destress a new mine development climbing slowly. The 3-year wage agreement end into with our Unions of the mine was another positive and we have started to feel critical skills positions at the mine. We probably completed around about 75% of what we needed to do. In addition, we have acquired 27 new category one machines to our fleet that's in essence drill rigs, loaders, trucks, which is expected to result in improved availability of the equipment in the second half of the year. However, as we stated before, 2015 at South Deep is more about the input than the output and a large part of our work is focused on three key areas, people, fleet and mining method, principally due to this deliberate focus to fix the base for sustainable long-term future, full 2015 production at South Deep is now expected to be approximately 6.5 tons of gold compared to the previous estimate of 7.1 tons gold. However, we maintain a full year production guidance of around 2.5 million ounces as the lower production from South Deep is offset by better than expected performance at Tarkwa, St. Ives, Granny Smith and Cerro Corona. The cost guidance of all-in sustaining costs of $1055 an ounce and all-in cost of the $1075 per ounce remains unchanged. While delivering on South Deep remains our key focus, it is worth emphasizing the strength of our international portfolio, which during quarter two produced 496,000 ounces at all-in cost of $984 per ounce generating net cash flow after all of those have been paid including taxes and capital of $101 million for the quarter. And with that, we will now take questions. Thank you, Dylan.
Operator: Thank you very much sir. [Operator Instructions] We have a question from Howard Flinker from Flinker Co. Please go ahead.
Howard Flinker: Hello everybody.
Nick Holland: Hi, Howard.
Howard Flinker: I have two questions for you, one might be a tough question. The first one is what caused the other category of expenses to drop? There was a category called other and it dropped somewhat significant?
Nick Holland: Okay. The second one?
Howard Flinker: The second one, did I read somewhere that in your exploration you think you could find gold within properties or adjacent to your properties around $20 or $25 an ounce something like that?
Nick Holland: Yes. I'll take the second question, Howard and Paul, our CFO will respond to you on your first question. So what we were saying is that our strategy has been very focused on brownfields exploration on our mine sites because the best place to find gold is where you're currently mining it, and we know that our leases are very perspective. Well, we've looked around outside of our leases too and we think there is opportunities as well. Now it's quite strategic because we've got spare process capacity, Howard. So if we can find deposits that we can economically try or from outside of our lease and fill in our plant it might be good business. So that's a strategy we're looking at. We're talking to a number of people. It might be tolling arrangements; it might be acquisitions; it might be joint ventures, let's see where we go, but that's the idea. Hopefully that gives you a better perspective.
Howard Flinker: Here is the hard part of the question. If you're shooting for $20 or for $25 because Mother Nature doesn't going to cooperate?
Nick Holland: Yes. Look we're not necessarily shooting for that. I don't know where that number came from, but…
Howard Flinker: One of your releases, I'm not sure if I saw it correctly, if I didn't please correct me.
Nick Holland: No. I don't think we said it would be that cheaper. I think it will be potentially more expensive than that.
Howard Flinker: No. My point is even more acute. Why do that when there are sound operating companies with experienced management selling for $4, $5, $10 an ounce of gold in the ground and nothing for a silver or stated in another way $1 or $2 for sliver and nothing for its gold. And these are not how we Flinker are going out and getting a shovel and say hey I think I found something somewhere in Mexico. These are experienced people.
Nick Holland: Yes.
Howard Flinker: My question is, are you being too narrow minded and stubborn to look next door to where you have instead of looking outside?
Nick Holland: Yes. Look I mean we could look outside, but Howe, one of things we've decided is standard on operations we would only be interested in in-production assets. I don't want to go and buy projects that we still going to try and build and often have major overruns and I'm interested in near-term cash flows with the team here.
Howard Flinker: There is some of either, I'm glad I own some of them.
Nick Holland: Great. But that's not our business model. So our business model is to buy in-production like we did in Australia. We bought in-production assets. We bought 500,000 ounces of annual production of $270 an ounce and we're going to get pay back at the end of the year which is two years. So that's what we're interested in. I mean, it's tough to repeat those. But we used to do all that stuff Howard and the problem is, we didn't have enough focus. We were all over the place in terms of looking at different things and that's why we had a portfolio that was spread over the world and we didn't do justice to it. So we're getting focused again.
Howard Flinker: You might be focused in the wrong direction if there are operating companies with $5 and $10 an ounce and you're shooting for acquisitions to 270, that's my point.
Nick Holland: Point taken Howard. Thank you. And Paul's question.
Paul Schmidt: Howard the other cost decreased from $10.1 to $8.6 and the bulk of it is the rehab costs. Then the main reason it would have decreased is because of the weakening of the Aussie dollar and the real when they get converted into U.S. dollars. But it's only down by $1 million, it's not a big number $1.5 million, it's tiny.
Howard Flinker: Oh, I thought its $4 million or $5 million or $7 million.
Paul Schmidt: That's 10.1 to 8.6 quarter-on-quarter.
Howard Flinker: Oh, my mistake. Okay. Thanks.
Operator: Thank you very much. Our next question is from Andrew Byrne from Barclays. Please go ahead.
Andrew Byrne: Hi, good afternoon, Nick. Just a bit of an idea, in the presentation this morning you kind of intimated us there is an awful lot going on in Australia on the exploration side on potential M&A. Is it possible you could just flush out kind of, a) what your existing capacity is at the moment, and the capacity violation there, and then looking ahead three or four years what type of production base would you like to have in the region?
Nick Holland: Well, the spare capacity we talked about Andrew was on the process side where we're using about 60% of what we've got across all the four mines. So we've got 40% of unutilized capacity. If you look at Granny Smith, we've probably got around about 1.8 million tons Darlot we probably got about 300,000 tons; Agnew we've got around about 600,000 to 700,000 tons; and at St. Ives we've probably got around about 1.5 million tons. So that's our spare capacity. So we're working very hard obviously on the lease and spending $85 million a year and our budgeted exploration made this year a 456,000 meters, which is like double of what we have done before. But, we're saying let's look beyond the boundaries of the lease and see if we're not successful on brownfields or if we are can we find other things that might be better that we can sequence better. I don't know what the three or four year profile is going to look like at this stage, Andrew. We haven't got figures that we're able to release to you. But the first and most important objective is to try and keep the production and critical mass at the four mines compared to where they are now. So that's why we are aggressively spending on the exploration. So I'd like us to be able to keep where we are if we can. Obviously, we want to try and keep the costs where they are as well or even lower, so we'll be going for grade like back at [indiscernible] is giving us an open pit that has a much higher grade than what we've seen before that's the best scale. [Ayaton] [ph] was probably as big enough pit in terms of tons, but it was half the grade that we're getting it invincible. So I can't give you definitive answers yet, but as a minimum we want to try and maintain a production profile and improve the costs by focusing on grade and if you can feel some of the capacity over time even better. Did that help you?
Andrew Byrne: Yes. Yes. That's great. Thanks.
Operator: Thank you very much. [Operator Instructions] Our next question is from [Justin Chen] [ph] from JMP Securities. Please go ahead.
Unidentified Analyst: Hi, gents. I'm just taking the focus to South Deep for a minute. So in the first half you produced – call it 2500 kilograms and so to reach your annual guidance of 6500 kilograms that implies approximately 4000 at the second half of the year, just comparing to your run rate of 500,000 tons at roughly 4.5 grams, do you expect grade to lift in the second half or most of the change be in tonnage?
Unidentified Company Participant: We expect improvements in both volume will grade will be due to seasonal variations between the first and the second year and also the consequence of an increase in the number of loss contributions that we are going to have a significant increase in the number of [indiscernible]. We are also expecting productivity improvements through some of the operational improvements as we are bringing to effect as well as the 27 units of new capital fleet that have acquired. Thank you.
Unidentified Analyst: Okay. Thanks guys.
Operator: Thank you very much. [Operator Instructions] As it appears that we have no further questions. Do you have any closing comments?
Nick Holland: No. I'd just like to say that it's nice to see a little bump in the gold price. And obviously, that flow through to the equities, but we probably could expect more volatility in the gold price and the market. So I think we just got to just keep focused on delivering on our production commitments and our cost commitments doing it safely and the markets will determine what that is worth. But thanks and we hope to talk to you again soon. Thank you, Dylan, and good bye.
Operator: Thank you very much, sir. Ladies and gentlemen on behalf of Gold Fields Limited that concludes this afternoon's conference. Thank you for joining us. And you may now disconnect your lines.